Louise Tjeder: Good morning, everyone, and welcome to Sandvik's presentation of the Fourth Quarter and Full Year Results 2022. I am Louise Tjeder, Head of Investor Relations here at Sandvik. And beside me, I have CEO, Stefan Widing; and CFO, Cecilia Felton.  We will, as we always do, start with the presentation. Stefan and Cecilia will take you through the highlights of the quarter and some full year. And then we move on to the Q&A session. And with this, I hand over the word to you, Stefan.
Stefan Widing: Thanks, Louise. And also I, again, would like to welcome you to this Q4 report for Sandvik in 2022. The quarter was a good quarter for us. We had stable overall demand for the group and strong revenue growth. If we look at the order intake, they were up 3% at fixed exchange rates, down 2% organically. Revenue up 11% at fixed exchange rates and 5% up organically.  If we take out our Russian business that we had in prior year to look at the underlying development for the rest of the world, we see organic growth of 2% and 9%, respectively. So stable order intake and positive growth on the sales side.  We also had record profits in the quarter. And one of the main highlights, I would say is that we have now caught up with our pricing. So the cost inflation in the quarter was fully offset by pricing, meaning it's margin neutral in this quarter. There are some mixes between the different businesses. We'll come back to that.  The adjusted EBITA increased by 27%, and we had a margin of 20.6%, up from 19.9% in the prior year and well within our target range of 20% to 22%. We also had some items affecting comparability, mainly related to the structured program that we launched in May of 2022. Adjusted profit, SEK 4 billion, up 17% from prior year. If we look at some of the highlights, the really main highlights from the quarter as well in our shift to growth, strategic execution. We continue to see an accelerated demand for both our battery electric mining equipment and our automation solutions and we go into 2023 with a really strong pipeline. So we are very optimistic about that going forward.  We're also very happy to have been able to announce the acquisition of Polymathian. Polymathian is the software and services company in the mining industry working with mine optimization based on machine learning technology. It's a really good complement to the mine planning software we have in Deswik, and this is a company that actually is acquired by Deswik and will be a part of Deswik. A unique offering in the industry, and we're really happy that they choose to be part -- and become part of Sandvik.  Of course, another highlight is that we closed the acquisition of Schenck Process Mining, or SP Mining. This gives us a more full solution offering in the crushing and screening space. And it also strengthened our aftermarket business in rock processing in a very good way. I always show one slide on innovation. And this time, we choose to highlight our Cambrio software company that we acquired in 2021. Cambrio consists today of 3 different software packages in the industrial software space. All of them have released new exciting versions.  GibbsCAM have launched a version now where they have integrated with Sandvik Coromant's unique tooling technology Prime Turning. It's a good step forward, both for Coromant and for GibbsCAM.  SigmaNEST, which is in metal sheet fabrication, they have a complete software suit for the connected workshop, a new version with some really good features. Cimatron something we don't talk -- have talked too much about. They are market leaders in CAM software for die and mold, which is an important segment for us. Also here some good interesting new features in the related software package. And overall, we see good growth in our CAM software space, slightly above the market overall.  Many of you, when I talked to you, you asked about where we are in mining automation in relation to our competitors. I have often said what I always say that we are the leading provider of mine automation in the underground space. And that's actually quite well known in the industry. Even despite that, I sometimes get pushed back where you say that, well the competition stay the same, they say they are the leading provider. So I think it's interesting. We now have a third-party report from global data, but it came in December, where they have looked at -- they have mapped the underground space for autonomous load and haul equipment.  And their conclusion, the report is available for you if you contact them, of course, shows that Sandvik has a 68% market share in underground mining automation, 68%. And the closest peers, you can also see in the pie chart here. And the closest peer is actually not the one you might expect. So interesting reading there.  Going into the market trends that we have seen, starting with the main regions, Europe, stable to positive actually, despite everything that's going on and North America positive, strong North American market. Asia for the group is actually up in the quarter. But if we look at what might be more interesting, the underlying industrial production point of view, it's been a weak market, driven by a dynamic coverage situation in China.  The other Asian markets are up. So it's really China on the industrial production side, that's been the weakness here. But you can see on the arrows that besides mining and energy, Asia is basically down across the board, driven by China then.  If you look at the various segments, on the mining side, we would say that we are now stable at a very high level. And the fact that we managed to basically meet the order intake in SMR, it's minus 2%, but it's positive, excluding Russia; it's positive, excluding major orders; is a very good guide for the strength of the mining business as it stands. General engineering is the segment where we have seen weakness. It was actually good in North America, but it was down in the rest of the world. Automotive, a positive development, strong high single-digit growth in automotive. And as we have said, we expect automotive to be supportive for us going into 2023 based on the production forecast and based on coming from low levels.  Energy also continues to be positive, maybe not so surprising. Infrastructure, flattish and weak in Europe, something we also said in the previous quarter. And then aerospace has been continued strong underlying sentiment. In terms of actual reported number, aerospace was actually a bit weaker in Q4, but it's related to timing of orders. Aerospace is one of the few areas in SMS, where we might actually get a little bit bigger orders of frame orders for a full year and so on. The underlying development is positive, and we expect it to continue to be so in 2023.  Summarizing this, order intake of just over SEK 30.7 billion. Revenues, just over SEK 31 billion. So it's a book-to-bill of slightly below 1. A normal year, this is how it looks like. We typically ship quite a lot of equipment, especially in Q4. So we typically have slightly higher revenues in Q4 than order intake. So it's nothing alarming in that sense. Looking at this, splitting out organic and structure. We see then that order intake was slightly negative, minus 2% on the organic front. But with our acquisitions coming in, even at fixed exchange rates, then we have a positive order intake growth. And revenues, same contribution from structure, but also positive organic development by 5%. So we can see the order intake graph starting to flatten out at a high level and revenues, of course, with a strong order backlog lagging that order intake curve.  EBITA development has been strong. Margin of 20.6% in the quarter, up in absolute terms by 27%. And we can see the development in the graph, the bars shows a steady progression with improved profitability, basically since Q2 of 2020. Absolute numbers, profit of SEK 6.4 billion, first time ever above SEK 6 billion for the company. We had leverage that was not as good, though. We do fully compensate inflation by pricing, as I said, and Cecilia will go through it more in detail later.  But the main negative impact we have had has been -- that we are taking some provisions for obsolescence in the inventory in SMR. This is mainly a mechanical consequence of higher inventories. And after a while, we start putting some reserves for it. For the full year, rolling 12, we ended the margin at 20%, which is then in line with our financial target, which I will say we are very happy about a year like this.  Going into the business areas then, Mining and Rock Solutions. As I mentioned, stable demand at a very high level. So despite the major orders last year, we more or less managed to meet the same level this year. Also all-time high revenues as we continue to ramp up and deliver on our very solid order backlog. And as we stand right now, orders we are taking is primarily for Q4 in '23 or even into '20 -- Q4 of '23 and also going into '24. So a very solid position to enter the year from.  At fixed exchange rate, growth was minus 1%; organic, minus 2%; and then if we exclude Russia, we can add back 4%. So then it's a positive 2%. I mentioned the major orders. We had 2 ones this quarter but not at the level the ones we had in the prior year period. EBITA was strong at 22%. SMR is fully offsetting cost inflation in absolute terms and slightly more than that, but it's still slightly dilutive to the margin for them, but good sequential progress quarter by quarter. Also positive is that we see the share of air freight coming down and that has a positive effect as well on the profitability and I already mentioned the acquisition of Polymathian.  Going then into rock processing. Here, the order intake growth was driven by the aftermarket and acquisitions. Revenues were at record high levels as well. If you look at fixed exchange rates, the growth was 18% on the order side. But if you look organically, it was negative 6%, excluding Russia, it's negative 3%. Here, we see some softness on the equipment side, especially driven by infrastructure in Europe. We should also note that some of the businesses here have very solid order backlogs. Attachment tools, for example, have a backlog that is basically already full for 2023. So they are a bit cautious with taking orders too far into the future.  So this is a combination of some softness on the infrastructure side and being careful with taking orders too far into the future. Margins at 16%, same as last year, and SRP is still lagging a bit on the -- in terms of cost inflation. The pricing has come through as we expected. They still have some more deliveries lagging with not as good pricing that we have to work through. Some dilution from acquisitions, but of course, very happy to see SP Mining coming into the business now in Q4.  And then finally, Manufacturing and Machining Solutions, where we again see stable order intake levels, positive in North America, not as positive as North America and Europe, but still good and both driven by strong performance from automotive. At fixed exchange rate, we have a growth of 5%. And in terms of organic number, that's minus 1%. And if we exclude Russia again, it's plus 2%.  Here, we should also say we have a negative working day impact of 140 basis points. We also have some impact, even though we haven't quantified that. We talked about that in Q3. We had some pre-buys in Q3 ahead of price increases that impacted the beginning of the quarter a bit. We had the same thing now in the end of the quarter where we normally we have price increases early in Q1, might come a bit later this time. So we didn't see the pre-buys that we usually see in December. Difficult to quantify, but still some impact in the quarter from that.  In January, we have seen the daily order intake being stable compared to the average of the fourth quarter. Margin stable, very good at 22.2%. Here, it's really good to see that the leverage in the cutting tool divisions are back at normalized levels, meaning above 50%. Solid price execution and good cost control. So really happy with the execution in the cutting tool divisions on that side, really good -- really well done by them, I have to say. We have some dilution from acquisitions in SMM as well. But overall, a very solid margin.  With that, I will hand over to Cecilia to go through some more details of the numbers.
Cecilia Felton: Yes. Thank you, Stefan. All right. So let's start with the table at the top right-hand corner. And here, you can see that organically, order intake was down 2%. If we exclude Russia, it was up 2% and revenues grew organically by 5%. Structure contributed positively 5% and currency with 12% and that brings total order intake growth to 15% and revenues grew by 23% in total.  Adjusted EBITDA, as Stefan mentioned, increased 27% to SEK 6.4 billion. Margin came in at 20.6% and net financial items increased year-over-year. This is driven by higher debt volumes. Tax rate came in high 27.7% if you exclude items affecting comparability. And I will come back to the reasons for that in a few minutes.  Net working capital came down slightly sequentially. We're still above our informal target of 25%. Free operating cash flow, strong in the quarter, SEK 6.2 billion, corresponding to a cash conversion of 99%. Returns, 16% and adjusted EPS increased to SEK 3.22.  And if we continue with the bridge then and start with the organic column. Here, you can see that revenues grew by SEK 1.2 billion. Leverage was 0, as Stefan mentioned, and that brings a dilution of 0.9 percentage points. Currency continued to have a positive impact on the margin and accretion of 1.6 percentage points. Our acquisitions contributed with SEK 1.4 billion of revenue, SEK 271 million EBITDA, and that was margin neutral in this quarter.  And all in all, that brings us from an EBITDA margin of 19.9% last year to 20.6% this year. If we continue down the P&L then and the net financials, starting with the most interesting row here, the interest net. Here you can see it increased year-over-year to SEK 416 million, and this is due to higher borrowed volumes. When comparing year-over-year interest rates are still lower as we've had some expensive debt that's matured. Sequentially, of course, rates are going up.  Then at the bottom here, you can see FX and other asset classes. This, as you know, are the temporary revaluation effects of our hedges. This was positive SEK 213 million in the quarter, and this is mainly driven by the currency hedges.  Tax rate then. So reported tax rate at 28%. If we exclude the one-offs, mainly the restructuring provisions, we came in at 27.7%, so still high. There were 2 reasons for that. First, we had a tax charge related to prior years in the quarter. And secondly, we also hedged the purchase price of Schenck, and there was a gain on that hedge. And the gain goes into the balance sheet as a reduction of the purchase price. But it is a taxable gain and that tax charge goes into the P&L, of course. So if you exclude those 2 effects, normalized tax rate was 25.4%, and that is high due to periodization within the year.  If we look at the full year, normalized tax rate came in at 24.1%, so just in line with guidance. Net working capital. Then here, we were happy to see that both in absolute and relative terms, we saw a slight decline sequentially. Inventories increased in volumes a little bit in the quarter, but actually came down in December, which we were also very pleased to see. And as I mentioned, a strong cash flow. You can see that in the graph on the left also when you compare to prior fourth quarters.  Cash conversion for the quarter at 99%, 56% for the full year. And if we look at -- if we compare free operating cash flow this year versus last year in the table, you can see that earnings were up with a positive impact from net working capital and CapEx was higher compared to last year. And that brings us to a free operating cash flow increase to SEK 6.2 billion.  If we continue then looking at net debt. Financial net debt, you can see that in the dark gray bars, increased slightly sequentially despite the positive cash flow, and that is driven by the acquisition payments that we've had in the quarter. You can also see here in the graph, if you look carefully, that also capitalized leases and the pension liability increased slightly sequentially and that brings us to a net debt of SEK 44 billion. And financial net debt over EBITA, our balance sheet target was relatively stable sequentially at around SEK 1.3. So still some headroom to our target to be below SEK 1.5.  Outcome versus guidance. And if we start with currency, you can see that we came in a bit lower than what we expected, so SEK 1.1 billion. CapEx, we guided SEK 4 -- or approximately SEK 4 billion for the year, we came in at SEK 4.2 billion. Interest net came in higher, SEK 0.9 billion and the normalized tax rate then just in line with guidance for the year.  And looking ahead, we've increased CapEx guidance to around SEK 4.5 billion for 2023 and this is mainly driven by capacity investments in BEVs, I mean the BEV manufacturing and also some large IT projects that we have ongoing. We expect currency effects to continue to be positive, SEK 600 million in the first quarter. Our best estimate for the interest net is SEK 1.7 billion for the full year. And the normalized tax rate here, we've increased guidance by 1 percentage point to 23% to 25% for the full year.  And with that, I will hand over to you, Stefan.
Stefan Widing: Thank you. I will conclude then. If you look at the full year, we believe we have seen very solid execution by the company in 2022 in what has been a very challenging environment. We have seen favorable demand and a solid contribution from our acquisitions. And at fixed exchange rates, we have seen an order intake growth of 17%, which I think is a very good number. We also have good backlogs also coming into this year. We have managed the supply chains in a good way. Also good performance from our acquisitions. So revenues at fixed exchange rates has grown by 20% in this year.  On the margin side and EBITA, it's all-time high, both in the quarter and for the full year, and we landed the margin then for the full year within our target range.  We have also made some really important steps forward in this year in our strategic execution around shift to growth. We have announced 8 acquisitions in the year. Some of them like Schenck, fairly significant. We have continued at a good innovation pace. We have launched some really exciting products, just making 1 example. Our unique 65-tonne battery electric truck, the largest in the industry. We have successfully distributed Sandvik Materials Technology as Alleima, putting in into a quite long process and almost decades of internal discussion around that. So a very good milestone.  And as we also mentioned, we see really good interest in our automation and battery electric solutions which is really good to see in terms of transforming that business into the future. We also think that we have a very solid foundation for continued successful execution. We have an enhanced offering and a higher share of aftermarket and software business than we have ever had before.  We have strong backlogs in our long-cycle businesses going into the year. We do see supply chain as -- and the issues we have seen there starting to ease up. We go into the year with cost inflation being fully mitigated by pricing. That will, of course, continue to be a topic to work on. But coming into the year in that position is very positive. We have a structured program already ongoing. We launched it in May. It was not related to sort of an economical cycles. But now we see it will start to deliver effect now in '23. So the timing was really good now with hindsight.  We also have a higher share of variable costs than we have had in the past. We have been working on that for the several years now. And in our decentralized setup, our divisions have their contingency plans ready and some of them are also already partially in motion. So the macroeconomic situation is what it is going forward. We feel we entered the year from a strong note.  Thank you.
Louise Tjeder: Thank you. Thank you, Stefan. Thank you, Cecilia. Yes, it's time for Q&A. I remind you again to try to keep your questions to a couple each so that everyone has the possibility to ask their questions.  So yes, we can open up for the first question, please, operator.
Operator: [Operator Instructions]. The first question comes from Gustaf Schwerin from Handelsbanken.
Gustaf Schwerin: Firstly, on the volumes in general engineering. Can you comment on how much those were down year-over-year for Europe and up for North America? And then secondly, when you say accelerated demand for battery electric, I assume that is underlying, so not actually growing quarter-on-quarter given the North haul we had in Q3. Is that correct? And can you say the percentage of order intake for Q4?
Stefan Widing: I'll start with the second question first. Yes, I mean, it's not a comment on the specific order intake in the quarter. It's more the underlying customer demand we see, how we see the pipeline is building or evolving and what we see might happen in '23. So that's correct.  I haven't broken out the number of BEV orders specifically in the quarter. I don't know if Louise can come back on that. But as we have said before, we have a full year outcome of between 10% and 15% for load and haul, which should be compared to low single digits only the year before. So it's -- I would characterize '22 as sort of the year a breakthrough year in many ways. Not only the bigger orders we received and have announced, we're also starting to see repeat orders. So I mean, major customers that are demanding in their operations that have placed their first order maybe a year ago, and now they come back with repeat orders. This means that the machines are working and that they see the benefits and the productivity gains. So I think it's really positive. In terms of general engineering. As we said, it was positive in North America, volumes single digits and the same on more than negative side in Europe.  Correct me if I'm wrong here, Louise, yes.
Louise Tjeder: Yes. Overall, general engineering is stable. So Asia, China is down low double digits.
Operator: The next question comes from Klas Bergelind from Citi.
Klas Bergelind: Klas at Citi. So I want to come back first on the regional trends and focus on general engineering. So solid North America down in the rest of the world, but it still feels when I back this out, like this is very much linked to this hang out from the pre-buy that will eventually level off from the price hikes, particularly in China.  I'm trying to understand China better against your comment of stable demand into January here it stays on for SMS. So looking at the data out there, still feels like China is still pretty weak at the start of the year. So the stable demand comment, is that still with -- Europe relatively stable, solid U.S. again still weak China. I'm misunderstanding the mix at the beginning of the year.
Stefan Widing: No, I think we don't comment specifically on the regions, but I think it's the -- I would agree with what you're saying. I mean it's not like we suddenly see China now coming up in a strong way. I think that the development in China in terms of what happened in Q4, I mean, in the beginning of the quarter, we saw issues because of lockdowns. At the end of the quarter, there were issues because they opened up, but they got a lot of cases, so there was sick leave. And I mean we had to close down some operations towards the end of the quarter. That has now improved again.  Now we're coming up against the Chinese New Year and all the dynamics around that. So I think we should probably not expect too much in Q1 because we still have some issues to get through. But the fact that they have opened up, I think, after the Chinese New Year, I don't know what will happen, but at least I have a hope that then they will come back and sort of kick start again. We'll see what happens. But I think I'm more optimistic about China into the year now than I was when they were constantly going into lockdowns. So I think that's the main comment.  In terms of general engineering. My earlier comment was related to volumes, I want to emphasize that. In terms of if we add price to it, then as Louise said, the end engineering was actually stable but with a negative contribution from China.
Louise Tjeder: Yes. And I think we specifically pinpointed China in Q3 in terms of the prebuying dynamics, which is important to recognize.
Stefan Widing: You had that in your question. So yes, of course, there is a dynamic related to that. And it was more -- much more in China than the rest of the world. But it's also difficult to put numbers on it. So that's why -- there is an impact. That's why I mentioned it earlier, but I don't want to read too much into it because how should I face this. I mean we have prebuys or an impact of that coming, many times during the year. So what is a plus and what is a minus, sometimes difficult to say, but it was definitely a negative in Q4 overall for us.
Klas Bergelind: Okay. No that makes sense. Then my second one is on the drop-through just to clarify, you're fully compensating looking at price cost now. But I thought when I caught up with you guys in the morning that there is still a little bit of a difference between the different divisions. You're fully compensating on SMM. You're moving in the right direction, SMR, SRP quarter-on-quarter, but you're not there completely year-over-year yet. Is that the correct understanding?
Cecilia Felton: Yes, that is correct. So for SMM, as you said, price versus inflation is slightly positive. For SMR, there, we had a dilution of 100 bps in the third quarter. We see a sequential improvement from that, so slightly dilutive. And for SRP, we still see a dilution of more than 100 bps.
Stefan Widing: So just to clarify, it means that at group level, we are fully neutral, but SMM is actually slightly ahead, and that's a timing thing. I mean, we cannot change prices every month. They are anticipating a quarter or two quarters ahead. So in Q4, they were actually slightly positive.
Cecilia Felton: I mean we can also say for all business areas, price increases are coming through as planned. So it's a timing difference for SMR lesser.
Klas Bergelind: Exactly. That's what I thought. And then just the final point then when you think of the pricing out of the backlog in SMR and SRP against the cost you see today, do you think you can fully compensate SMR, SRP now in the first quarter? Or will it take longer?
Cecilia Felton: Not in the first quarter, we are expecting to see a gradual improvement during 2023. But we do expect them to be also margin neutral during the year.
Operator: The next question comes from Daniela Costa from Goldman Sachs.
Daniela Costa: If I may ask two questions. First, can you talk a little bit again about the obsolescence costs that you've mentioned earlier? Sort of can you size where the hit was bigger by division. And I guess where are you in terms of where you want your inventories to be? Will this still be a recurring thing that you have to book through in the next few quarters?  And my second question, I think you mentioned briefly that the price increases in SMM will happen later than usual this year. Can you just tell us sort of like why sort of what's the dynamics behind that decision?
Cecilia Felton: Should I start with the inventory questions. So the obsolescence reserve that -- or the impact of that was in SMR. And as Stefan said, this is part of our normal accounting procedure. So once an item has been in stock for at least 12 months, we start to make these provisions. Part of this, though, we think we can potentially get back in 2023.  The impact on SMR year-over-year was about 80 bps. And in terms of inventory and networking capital levels long term, there, I would say, the buildup that we've had is driven by the supply chain and logistics challenges that we've been facing during the year. We see this slowly easing up but we expect this to be a gradual improvement back to more normalized levels during 2023. And I think it's also important to understand that structurally, nothing has changed in the business that would make us more net working capital intensive.
Daniela Costa: If I may follow up, just to make for the accounting clarification there. So that means that this year, we should expect a more back-end loaded sort of margin profile, let's say, because in the first half, you're still doing obsolescence cost? And then as things recover later on, you compensate for that? Is that the way to read your comment?
Cecilia Felton: I don't want to give too much guidance into the first quarter and what to expect. Not necessarily. I think part also -- I mean this is a sort of mechanical provision that we're making. Part of what we also provided for it Q4, if we sell those parts, we get that -- we get a negative impact in Q4, we get that back. So not necessarily.
Stefan Widing: I should also answer your question on the pricing in SMM. And you're correct. I mean, normally, the price increases are Jan-Feb for the cutting tools. Now because of 2022 was a very special year. We had to do several price increases in the year. And I think as you know, we did some then also around September, October time frame. And that changes then the timing of the next one, so to say. We cannot come too often with the price increases. So that's why the divisions have delayed them a bit compared to what they normally do.  And that's also what I said is giving a slightly different dynamic than on pre-buys in December, where especially distributors typically buy a bit more -- place a few more orders before the price increases, and that didn't happen this time. But that's the reason. It doesn't mean anything in terms of changed ambition. It's just a timing thing.
Operator: The next question comes from Lars Brorson from Barclays.
Lars Brorson: I'm going to stick to the tooling business, SMM. A couple of questions, if I can, Stefan, on end markets. Your organic orders are down 1%. There are a bit if we exclude Russia and adjust for working day impact. If I understood your Investor Relations earlier correctly, your auto end markets and the end markets are up double digit. General industry flattish. That would imply aerospace down 25%, 30% obviously, on a big comp from last year.  I just want to understand. A, if that's right; B, if that's specific to the Boeing supply chain; and C, whether that was -- we should expect that to continue into the early parts of this year. I appreciate your aero market development in North America. It's obviously up, but it looks like you're being hit by some supply chain constraints, particularly in that supply chain if you'd comment on that, please.
Stefan Widing: I didn't really follow or I didn't follow the math, so to say. So I'll just comment on aerospace. No, it was not down 25%. It was in sort of PV terms, it was flattish for the quarter, which implies then maybe slightly negative volume. Though we should say aerospace is actually one of the industries where pricing is lagging because we typically have full year contracts and things like that. So it's not as much pricing there. But you are right in terms of what impacted it. Europe was positive. It was strong. China was negative. North America was weaker this quarter, but it was a pure timing. Pure timing in how we get orders in that business.  In terms of looking ahead, there has been some let's say, push outs or delays in some of the ramp-up in the production forecasts among customers, driven by their supply chains. But for us, it means that the growth contribution from aerospace in '23 might be slightly lower than we had expected, but still a positive contribution in '23.
Lars Brorson: Sorry, I'm confused, then can you confirm whether auto energy were up double digit for SMM in Q4, please, organically?
Cecilia Felton: Auto was up double digit in Europe and North America, but it was down in Asia. So high single digit in automotive, which we have also talked about earlier. So you're right in double digit, but for -- in North America and Europe.
Lars Brorson: Okay. Maybe I can revert back. Secondly, if I can, just on the bridge, I wonder whether as to if you give a bit more color on the EBITA bridge for SMM. I know you guys don't want to talk about pricing. Kennametal does. I'm going to assume pricing up, call it, 6%, 7% in the quarter, so volumes down mid- to high single digit. I'm assuming, therefore, there's a negative volume leverage, which is then more than offset by pricing and as you say, cost control. Help me a little bit, if you would, please, on the sort of the moving parts of that organic bridge in SMM.
Cecilia Felton: Yes, sure. So as we said, price versus inflation slightly positive. Volumes had a negative impact of more than 150 bps. Then we can also say that in SMM, we had some dilution from our powder businesses, both in SMF and also the Wolfram business. Those are the key components.
Operator: The next question comes from Andrew Wilson from JPMorgan.
Andrew Wilson: I've got 2. I just want to -- at the risk of sounding particular on the daily order intake comments that you make for the Q1, the first 2 weeks of the Q1 and obviously, with the caveat of not extrapolating that as a comment on the quarter as a whole. But just to understand, is that a volume comment? Is that a constant currency comment? Just to try and, I guess, sort of pitch what the implied run rate is there.
Stefan Widing: Well, it's basically the same in this -- I mean because you relate back to Q4 and the pricing component will not change much. So it's -- but to answer straight, it is a PV comment, but it doesn't change much if you go to volume.
Andrew Wilson: So if I take the sort of -- again, just trying to really simplify, if I take the Q4 run rate that we can see as a headline number, that's a pretty good indication of what we see in the first 2 weeks.
Stefan Widing: Yes. But remember, we talk about dailies. So you have to maybe do some adjustments for working days as an example.
Andrew Wilson: Yes. No, that's very helpful. And secondly, I just wanted to get, I guess, a sense of we've obviously seeing super strong mining orders, I guess, in both businesses over the last couple of years. Are you getting any -- with a positive or negative, I guess, indications or commentary from your customers with regards to orders in 2023 or demand in 2023. Conscious of -- you talked about the cover that the orders provide for revenue. But I guess I'm interested, we've seen what it feels like mining CapEx numbers, for example, moving around quite a lot. Just interested if you're getting any indications in terms of customers in either direction.
Stefan Widing: No, not really. I would say continued positive -- general positive sentiment. Of course, if you talk now, okay, so what will you see in orders that can always fluctuate. And if some customers will suddenly get a bit more cautious with placing orders into 2024, can always have an impact on the order figure in a specific quarter. But overall, when we look at our expectations, we expect demand to stay at a high level. And yes, then major orders and so on can mean that individual quarters move a little bit up or down. But still, I would say, we are positive also going forward.
Operator: The next question comes from Max Yates from Morgan Stanley.
Max Yates: Just my first question is around China. Would you be able to give us just for the total 2023, what your China business did year-over-year in Machine Solutions. And when you think about that sort of going into 2023, do you see it as more of a catch-up just because your factories will be running normally, you had disruption around sort of from lockdowns? Or do you think actually there is a genuine kind of demand uplift for your business as the economy opens? And what specifically do you see that as coming from?
Stefan Widing: Yes. On the first question, I don't have that figure. Do you have it, Louise, the full year, China? Otherwise, we'd have to come back.
Louise Tjeder: Yes, mid-single. But it's better we come back.
Stefan Widing: Yes, let's come back on that, sorry. On your other question, I think both is my speculation. I put it like that now. We should definitely see an improvement just from the fact that we had -- take in Q2, we had -- it was horrible in terms of lockdowns. Our Shanghai operations was quite significantly impacted as an example. Now in Q4, we have seen impact as well. Q3 was better, sort of a temporary sort of reopening effect and so on. But just us being able to run our operations and disturbed will have a positive impact.  Then, as I said earlier, I'm more positive now than I was only a month ago, the fact that they have now opened up. We'll go through some short-term pain because of that. But I've seen some early leading data on economic activity, and they seem to open up quite quickly. And coming back from Chinese New Year, I hope that we will see some kind of kick start, which should also then be positive from a demand point of view. But that's pure speculation from my point of view. But I hope that we will see both.
Max Yates: And maybe my second question, and I know we kind of don't want to ask about the Sandvik manufacturing parts every quarter. And by that, I mean the bit that's related to your SEK 6 billion revenue target. But I was wondering given kind of we're at the full year, would you be able to give us an update on how that business kind of has grown within Machine Solutions this year and also where profitability has got to relative to that 20% target that you have for 2025. It would be helpful just to have an update a little bit on how that business is evolving from a growth and margin standpoint.
Stefan Widing: The growth has been solid. And as I mentioned on the software side, which is if you think capital allocation, that's where we have allocated the most capital, the software companies have a really robust and good performance. If we look at versus the market, they have had a growth or a CAGR that is slightly above market growth in those areas. So that's positive.  Also the powder business has been strong. Margin development, it's a positive margin development but I don't want to go into specifics. We have talked broadly around, we want to reach the 20%. I think we are on track to do that, but it's still quite far below that. My -- where our ambition is that we should give you a much more -- let's say, much more view into this and the development at our CMD later this year.
Operator: The next question comes from Sebastian Kuenne from RBC Capital.
Sebastian Kuenne: Two remaining questions from my side. One is on the electric vehicles underground, mining vehicles. Could you provide us an update again on the gross margin potential, EBIT margin potential and also servicing potential of that business I recall that you expect Battery as a Service as a very large contribution, but that was, I think, before the management change of that division. I was wondering if that still your view? That would be my first question.
Stefan Widing: On the margin for BEVs, we expect them to come in at similar margins as for the current diesel equipment. It's not something we have a detailed spreadsheet that leads to, but -- it's also in our own hands to manage it in that way, so to say, with pricing and so on.  Today, we can say it's dilutive because -- we are still early in the ramp up. As Cecilia mentioned, we have some investments ongoing now. We will basically -- yes, we're building new production lines, even a new factory to meet the demand there. Meanwhile, it's more of a 0 series production type build. So which obviously impacts our margins from an industrialization point of view. So today, it's dilutive. During the next few years, it should gradually come up to become at the same level as normal equipment or diesel equipment.  On the service side, yes, I mean, the potential there didn't change with management. So everything that was said that CMD is still fully valid. And we are seeing basically all the orders we get at this point is with battery as a service. We have said we don't expect it to stay like that forever. Long term, maybe 50% will be Battery as a Service as some customers will want to monitor that themselves. But at this point, they see the value proposition with Battery as a Service and they all go for it.
Sebastian Kuenne: Yes, okay. That was one. And then another question on cost inflation into 2023. What is your current assumption for staff cost inflation? What is in your budget at this point?
Stefan Widing: Roughly 4% to 5%.
Sebastian Kuenne: And that compares to what in 2022?
Stefan Widing: That I don't have actually. But it was -- 2022 was fairly normal still. We have a lot of our workforce in countries that are unionized and that have collective bargain agreements. We did see higher numbers in the U.S. some Eastern European countries and so on. So it was probably slightly higher than historical, but we expect the main impact to come in 2023.
Operator: The next question comes from Andre Kukhnin from Credit Suisse.
Andre Kukhnin: I have one on SMR and the report that you pointed to talks about the 2% CAGR outlook for the underground mine equipment market 21 to 25. I just wanted to check your kind of broader view on that. Is that an agreement with how you see this market?
Stefan Widing: 2%, probably not. I think we're seeing higher numbers, as you can see. But I don't want to give a specific figure as a guidance, but 2% sounds low.
Andre Kukhnin: I have a much, much broader question about the kind of structure of Sandvik Group of the 2 very distinct parts there. If we look 3, 5 years forward, do you envisage a set of circumstances or state of maturity of the businesses that would warrant maybe Sandvik becoming some of 2 that equals more than just 1 plus 1?
Stefan Widing: I think it does today. I think it equals more than 2, 1 plus 1, but, no, I mean I get this question from time to time. And I mean the group as it stands today is a group that we think is really good. We like the company as it is. And our focus is to execute on the strategy we have in all our 20-ish divisions. Then are we ruling anything out for the future? No, we should always keep. All options open, that should always be the case.
Andre Kukhnin: If I may, just to ask a slightly different way. Do you think the Machining part of the business with the transition that you've enabled there already shift towards software and powder. Do you think that can stand on its own 2 feet, if it was a stand-alone business?
Stefan Widing: Yes, absolutely. Well, I think we have about 300 reporting entities, I think you can probably create 100 companies out of Sandvik. I mean we buy companies that could be stand-alone. So it's not a matter of what can be stand-alone or not. There are many quality businesses in Sandvik that could stand on their own, if that's what we wanted. But then we shouldn't do acquisitions.
Andre Kukhnin: No, that's of course, fair. Sorry to kind of plow in on this. Just more from kind of equity market and not just purely operational perspective, of course, operationally, they can. And the reason I'm obviously asking is that is something that we get coming quite regularly on very simple to run some of the parts on Sandvik and see that there's a consistent discount to pure plays or kind of to peers. So why not undertake this when the whole industrial world is going through this process of degovernmentalization?
Stefan Widing: Yes. Why not? I mean from my point of view, you can do the summer parts and values. I mean there -- I don't believe such thing as the term hidden value. They are there, you can see them. And then it's up to you and others in the market to put the value on it. That's not something I want to speculate in why it is the way it is.  But again, we believe that we will create value and have a fair value of the group if we execute on our strategy and consistently develop -- deliver the results and grow the company. And then it all -- when you do the summer parts, I mean, it's all up to you to choose your comparison and your peers and the assumptions and what multiples you put on things. I have to assume that the market is valuing us at the level you think we are worth.
Andre Kukhnin: That's fair. Yes. I mean, just not to kind of invite a further comment, but just your holding discount that stands up happening because of the 2 uncorrelated parts, but thank you very much for your time.
Stefan Widing: I understand that dynamic, so to say. Then it's always a question on how big it is and what kind of actually, let's say, synergies or benefits do we have of being 1 group in various aspects and putting numbers on those things at the end of the day, I think, becomes a theoretical exercise. I don't think there's anything today that is holding back the performance on any part of the group, while we have benefits from being together in various aspects. So that's our focus today. Then as I said, we should never rule anything out in the future because we don't know how things will develop in the future.
Louise Tjeder: Thank you. I think we conclude with the question from here, and it's from Mattias Eriksson at PAM Capital. It's a question we answered quite a lot this year, but let's end with that, and that's how large share total cost is energy for the group. Please, Cecilia?
Cecilia Felton: Yes, sure. Energy is around 1% of our total operating expenditure.
Louise Tjeder: Thank you. So with this, we end this webcast, and we thank you for calling in and from all of us, we wish you a nice rest of the day and of course, a very nice weekend. Thank you.
Stefan Widing: Thank you.
Cecilia Felton: Thank you.